Operator: Welcome to the Macerich Company’s fourth quarter 2009 earnings conference call. Today’s call is being recorded. At this time all participants are in a listen only mode. Following the presentation we will conduct a question and answer session. Instructions will be provided at that time for you to queue up for questions. I would now like to turn the conference over to Jean Wood, Vice President of Investor Relations.
Jean Wood: Thank you everyone for joining us today on our fourth quarter 2009 earnings call. During the course of this call management will be making forward-looking statements which are subject to uncertainties and risks associated with our business and industry. For a more detailed description of these risks, please refer to the company’s press release and SEC filings. As this call will be webcast for some time to come, we believe it is important to note that the passage of time can render information stale and you should not rely on the continued accuracy of this material. During this call we will discuss certain non-GAAP financial measures as defined by the SEC’s Regulation G. The reconciliation of each non-GAAP financial measure to the most directly comparable GAAP financial measure is included in the press release and the supplemental 8K filings for the quarter which are posted in the investors section of the company’s website at www.Machrich.com. Joining us today are Art Coppola, CEO and Chairman of the Board of Directors; Tony Grossi, Senior Executive VP and COO; and Tom O’Hern, Senior Executive VP and Financial Officer. With that, I will turn the call over to Tom.
Thomas E. O’Hern : Today we’ll be discussing the fourth quarter results as well as the results for the year, recent balance sheet activity, we’ll give you an update on the selling of our non-core assets and our expectations for 2010 including earnings guidance. In terms of the operating metrics, occupancy levels have remained good and retail sales have shown signs of improvement. If we take a look at releasing spread for the year we did roughly one million square feet for the year. Average new rent was $40.25 that’s a positive releasing spread of 14%. If we look exclusively at the fourth quarter which is a relatively small sample size of just over 200,000 square feet we averaged new rent of $35 per foot compared to expiring rent that was down .8%. It was slightly negative in the fourth quarter again, a small sample size. For the year we were positive 14%. Occupancy levels have remained high and up from last quarter with mall occupancy at 91.1%, that was up from 91% at September 30th and down about 120 basis points from the 92.3% at December 31st of ’08. Most of that reduction versus a year ago however came from big box closures such as Circuit City, Steve & Barry’s and KB Toys. That accounted for about .7% or 70 basis points of that 120 basis point decline. Again, large space users low rent payers however. Our occupancy cost as a percentage of sales was up to 14.1%. Although that’s up from 13.1% a year ago, that’s still very healthy and that increase was mostly driven by the 7% decline in tenant sales. Looking at FFO for the quarter it came in at $0.90, that compared to $1.92 in the fourth quarter of last year. Included in the fourth quarter of this year was a charge of $0.07 per share for impairment on two small non-controlling joint ventures where our partner determined there was an impairment and we took our pro rata share. If you add that back to the reported $0.90 that’s $0.97 compared to consensus of $0.91 per share. The annual results came in at $3.77 excluding the impairment in the fourth quarter and that was well in line with our updated guidance that we gave in October which was a range of $3.50 to $3.80 so we came in near the top end of that range. Looking at same center NOI for the quarter excluding termination revenue and SFAS 141 we were virtually flat, down slightly at .22% compared to the fourth quarter of last year. The negative comparison in 2008 was mainly driven by the decline in occupancy that I mentioned a few moments ago. Year-to-date same center NOI excluding lease termination and SFAS 141 was down .74% for the full year, 74 basis points and that was better than our October guidance which was based on being down 1% to 1.5%. Lease termination revenue including JVs at pro rata was $7.5 million and that was up compared to $3.6 million in the fourth quarter of last year. The expense recovery rate improved to 93.3%, that includes JVs at pro rata. That compared to 90% for the entire year of 2008. This improvement was due to significant cost reduction measures that were implemented throughout 2009 and the positive impact of having over 70% of our leases no based on fixed CAM as compared to triple net. CPI rent increases were $2 million higher than in the fourth quarter last year. Straight lining the rents were up $3.5 million compared to $.9 million for the fourth quarter of ’08. Shifting now to the balance sheet, our average interest rate is 5.55% and our average rate on fixed rate debt is 6.24%. The interest coverage ratio for Q4 was a very healthy 2.25 to 1. At quarter end we had a total of $6.6 billion of debt outstanding including JVs at pro rata. That is $1.4 billion less than December 31st of ’08. This resulted from joint venture transactions, non-core asset sales, cash retained from operations and the proceeds from the October equity offering. We have over $900 million of capacity on our line of credit today plus at year end we had $164 million of cash on the balance sheet. During 2009 loans were closed for just over $880 million. Looking at 2010 the total maturities in 2010 are $560 million however, on $168 million have built in extensions and $48 million of those maturities have already been financed so that leaves us with only $248 million of financings to do on roughly seven property level financings, a very, very manageable level. We have gotten some comments about whey we did not put in our detailed debt maturity schedule for 2010 but frankly, all the details are there. It’s a relatively small financing amount and when we put forth our estimated loan proceeds number on that schedule we found it proved to be a competitive disadvantage and in fact a ceiling when we went out for the financing efforts. So you’ve got the basic information there. Again, there’s a very small amount of maturities in 2010 and in our opinion very, very manageable. Looking at the dividend, consistent with last quarter and as part of our ongoing effort to conserve cash and delever, we again declared a quarterly dividend of $0.60 per share payable on March 22nd to stockholders of record of February 16th. 90% of that dividend will be paid in stock. Looking now at 2010 earnings guidance, the guidance is in a range of $2.90 to $3.10 per share. In that guidance we have not forecast any acquisitions, dispositions or additional joint ventures. We have not assumed any equity issuance other than the continuation of the stock dividend. Built in to that guidance is same center NOI growth of .5% to 1%. At this point I’d like to turn it over to Art.
Arthur M. Coppola : I’m going to review specific retail sales results in our portfolio for the year as well as the quarter, review our leasing activity, recap some of the areas on the balance sheet activity for ’09 that Tom has already mentioned, move on to the development activity that is still underway in the company and then we’ll be opening it up to Q and A. In looking at retail sales, retail sales for the year ended up pretty much exactly what we had anticipated. You may remember that in February of last year we felt that retail sales would most likely be down double digits around 10% per quarter for the first three quarters and our hope was that in the fourth quarter sales would flatten out. In fact, sales were off roughly 10% to 11% for the first three quarters of the year and sales for the fourth quarter were basically flat at down 1.9% and this is exactly what we had anticipated. Looking at this by region, the Arizona region in the fourth quarter was down 1.5% and down 9.9% for the year. Our central region was down 2.7% in the fourth quarter and down 6% for the year. Our eastern region was down 0.5% for the fourth quarter and down 6% for the year. The northern California Pacific Northwest region was down 2.6% for the fourth quarter and 6.7% for the year. Then our Southern California region was down 2.4% for the fourth quarter and 8.3% for the year. So again, the fourth quarter was down approximately 1.9% and overall sales were down about 7% for the year. As we look forward we have seen decreasing decelerating trends in sales declines during the first three quarters. The fourth quarter was basically flat. It’s hard to prognosticate what we’re going to be looking at in 2010 but I think most retailers are anticipating that sales will be at least equal to what they were in 2009 and hopefully up 3% or 4%. All of this has resulted in a retail sentiment that is far better than what we were looking at, at this time last year. As we talked about in previous calls, retailers had major cost reductions during the course of the year. They had a business plan to reduce their inventories and to plan their sales to be down for the year. They actually exceeded their sales expectations during the course of the year. They maintained their margins and virtually all of our retailers made money in the fourth quarter and are in a far better cash position than what they were looking at last year. So from a leasing perspective overall while we are pleased with our performance in 2009 it was clearly a tough year for the retailers to be making new commitments but we’re definitely seeing early signs with the help of the retailers, their balance sheet and their cash position that they are willing to make new commitments going forward and we anticipate a strong leasing year in 2010. As we look back on ’09 I’m sure you’ve heard on most real estate calls as well as most corporate calls that obviously it was the most difficult year in any of our recollection from a financial view point. However, we charted the course for you in February of last year and we exceeded all of our expectations in terms of execution and timing. On the non-core sales, we exceeded our expectations with just over $150 million of sales. The joint ventures were executed much quicker and in a pricing level that was well within our expectations. During the course of the year we raised about $1.14 billion in cash that went towards reducing debt overall by about $1.4 billion, the difference there being that part of our debt on the joint venture properties has now been allocated to our partners. We’re very pleased to have been able to do this through a combination of the non-core sales, the joint ventures, the reduction in our dividend, going to a stock dividend and the equity offering that we did in October. We’re very pleased to have had this very significant debt reduction while only increasing our share count 20%. Most importantly during the course of ’09 we dealt with some very significant pending maturities. As Tom mentioned we refinanced about $900 million of property debt. Over the past 14 months we’ve reduced the balance on our convertible debentures that come due a little over two years from now by roughly $350 million. Over the course of the past year we’ve retired about seven months before maturity $450 million worth of our term notes and we reduced the balance on our line of credit by just over $500 million given us almost $900 million of capacity. All of this activity and sticking to our game plan in terms of the financial planning and roadmap that we laid out for you resulted in Macerich achieving and delivering in the top two or three total shareholder return performance in the entire REIT world in 2009. So while we’re very pleased to have executed well in a tough environment in ’09 we also are looking forward to 2010 realizing we still have plenty of work to do on the debt reduction and delivering side but it is all very manageable. As Tom mentioned we’re faced with a year with very light debt maturities and those are mainly on two properties Santa Monica and Modesto and we anticipate significant excess refinancing proceeds from each of them. We have a very modest development pipeline that we are left with and an improving climate for our core business and an improving view towards the leasing that we see going forward. The major development that we have left in our pipeline after completing Scottsdale Fashion Square and Northgate in the fourth quarter of last year, remains Santa Monica Place. This is one of the most heavily anticipated retail developments to be delivered in years. Santa Monica Place as you know will open in August this year with Bloomingdales and Nordstrom. Leases are signed on roughly 70% of the small store space and letters of intent are out for over 20% or so of the total space so we’re at this point in time roughly 90% committed so we’re very pleased in terms of the retail interest we’ve got in the property. We’re pleased to have been able to achieve the rents that we’ve been able to achieve even though we were leasing this during a very tough year in ’09 and we started the leasing in the fall of ’08. But leasing definitely has been picking up in the last couple of months and again, the anticipation amongst the retailers is tremendous. On the development pipeline we roughly have about $150 million left to spend in our entire development pipeline and virtually all of that, around $125 million is that Santa Monica Place so the development pipeline is dwindling down and we are now set over the balance of this year and in to next year to reap the benefits of the expansions and the redevelopments that have largely been funded out of cash on hand and now will start to generate income. With that, I would like to open it up to Q and A and we look forward to answering your questions.
Operator: (Operator Instructions) Your first question come from Michael Mueller – JP Morgan.
Michael Mueller – JP Morgan: A couple of questions, first of all on 2010 guidance Tom, can you elaborate a little bit on expectations for occupancy say at the end of 2010 how you think rent spreads will come in compared to the 14% that you had this year?
Thomas E. O’Hern : Mike, I’ll hit occupancy and then Tony or Art might want to jump in on the spreads. In terms of occupancy that works out to an occupancy neutral environment. That forecast would basically leave us at the level we are today.
Arthur M. Coppola : Then Mike on the leasing side, at this point in time I would anticipate that leasing spreads will be basically flat to up a few percentage points. As you know, we had roughly a 14% leasing spread in 2009 but as we look at 2010 the expiring rents that are expiring in 2010 are roughly 9% greater than those that were expiring in 2009. We did have roughly a 7% sales decrease in 2009 and so with that on balance we anticipate a flat to modestly up year in terms of the leasing spreads and activity. We think that’s a cautiously optimistic viewpoint but we are very hopeful that based upon the interest that we’re seeing that we can do better than that on the spread side and hopefully on the occupancy side but neither one of those are built in to our guidance numbers. So, we look to hopefully outperform on the up side on the leasing side.
Michael Mueller – JP Morgan: So opening rents are pretty much holding it’s just pretty much the expiring levels changing is what you’re saying?
Arthur M. Coppola : Yes, and we also did have sales decreases in ’09 so overall that’s the reason for roughly flat to up a little bit leasing spreads that we anticipate for ’10.
Michael Mueller – JP Morgan: Just thinking about the Mervins boxes, can you talk a little bit about how much NOI is expected to come online that you’re not recognizing now in 2010? And then, just how much potential NOI is there is still to come from the dark boxes?
Thomas E. O’Hern : Some of that came on line this year Mike and when I say this year I mean 2009. There’s an incremental $0.10 coming on in the guidance in 2010 and then that leaves us with a number of boxes that we’ve still got to resolve so there could be another $0.10 that could come on line beyond 2010 depending on the ultimate outcome on the boxes that are vacant today.
Michael Mueller – JP Morgan: Last question, just on the dividend, I’m assuming guidance assumes a stock dividend throughout the year, is that correct?
Thomas E. O’Hern : That’s correct.
Michael Mueller – JP Morgan: Then what about the expectation in terms of going back to a cash dividend? Is that a possibility at all in 2010 or is that more of a 2011 or ’12 event?
Arthur M. Coppola : Well, at this point in time we are assuming a stock dividend through the balance of the year. On the other hand, that is reviewed on a quarterly basis and if we are able to delever the company in ways through additional asset sales or some other view point that makes us comfortable going back to a full cash dividend we will. But, at this point in time we think it’s prudent to guide you towards the stock dividend being in place for the balance of this year.
Operator: Your next question comes from Paul Morgan – Morgan Stanley.
Paul Morgan – Morgan Stanley: On the leasing environment, just generally there was a lot of renewals were taking place on a short term basis for the past 18 months or so. I’m wondering, as you see a little bit of a pick up there do you think the new renewals you will look at for ’10 will still be kind of primarily three years or less or we’re going to start to see a bigger percentage of the more normalized in to the kind of regular five year renewals?
Arthur M. Coppola : I definitely think retailers are going to be willing to commit to longer term leases and we’re going to be willing to commit to more traditional longer term leases during the course of this year. The retailers are just now coming off of their all important fourth quarter and definitely the mood has picked up dramatically. I think the percentage of short term renewals that we did have that was at a relatively high level compared to other years in ’09 will definitely go down substantially in ’10.
Paul Morgan – Morgan Stanley: Then on the discussion about kind of the maturities in 2010, you took it out of the supplemental but should we assume that maybe there’s some upside to the proceeds versus what you had disclosed in the third quarter or is it basically in line?
Thomas E. O’Hern : Paul, there’s six loans that we’re talking about here that are maturing in 2010 that aren’t extended or already refinanced. Art mentioned the two biggest ones, Santa Monica Place and Vintage Fair and those are loans that have been on the books for about 10 years so those assets are very underleveraged and I would expect significant excess proceeds to come out of those two. Of the $248 million of maturities they are $140 of the $248 so the lion’s share sits with two properties that are very, very strong properties and we already have a high level of institutional lender interest in those even though those maturities one is in November and one is in September.
Paul Morgan – Morgan Stanley: So you say it is consistent with or better than what you provided in the third quarter?
Thomas E. O’Hern : On the proceeds level, I mean the proceeds level are still ending up in the 13% to 14% range and since we don’t have final proposals on either of them I’m not going to put in opinion out on that but I think we will very comfortably exceed the maturing debt and we do see an improving permanent financing market both from the life companies as well as the investment banks. They all have far more capacity and allocations this year than they did last year so I would expect both term as well as proceeds levels to improve this year. It’s too early to tell where ultimately those two come out.
Paul Morgan – Morgan Stanley: Then last question, any color on the non-core sales in the fourth quarter? And, I guess they’re not in guidance for 2010, does that mean you sort of worked your way through those or could we see more?
Arthur M. Coppola : At this point in time there are no planned additional dispositions but we have definitely seen over the course of the last six months some very significant equity capital emerge that has shown interest in investing in this space and they’ve shown interest in investing in to what I would categorize most people would classify as the B mall category. So while it’s not in our guidance numbers I did allude to it in my comments that it is not out of the question that we could see ourselves take advantage of some of the capital that is emerging and showing interest in the B type of mall category and do some dispositions in that arena. But that would be something that is on an ad hoc basis. But the environment is definitely improving in that arena and it is not out of the question.
Operator: Your next question comes from Ian Weissman – ISI Group.
Ian Weissman – ISI Group: Two questions please, you talked about flat occupancy for the year, I guess my question is does that assume that we should expect light bankruptcies this year but also continued challenges for releasing your big box exposure?
Arthur M. Coppola : On the big boxes that area remains challenged but you’re seeing a number of names emerge that are seeing opportunities to make a real estate grab and there are a number of retailers that are beginning to fill up those big boxes. So while it remains a challenging category the category killers that generally occupied those big boxes you are seeing new names emerge that are taking up that space. On the occupancy side, we do see continued strong interest and it’s our hope to improve occupancies over the balance of the year but that’s not in our guidance numbers.
Thomas E. O’Hern : Another indication of that is in the fourth quarter the bad debt expense was only $2.4 million, that was significantly less than what it had been on each quarter in the first half of the year so we’ve seen fewer bad debt expenses, we’ve seen fewer bankruptcies in the second half of the year and it generally seems to be improving in that regard.
Arthur M. Coppola : And requests for rent relief are down substantially. Look, the unknown is always the devil in the details but while a year ago at this time I think while nobody knew exactly where the failures were going to come people were relatively convinced that they were coming. The profitability of retailers overall in our portfolio is dramatically improved over one year ago today so our anticipation is that rent relief requests which we did not grant very many of last year are going to be way down and unexpected failures will also be down from what they were last year.
Ian Weissman – ISI Group: Who were some of those big box retailers looking to expand their footprint? Can you say?
Arthur M. Coppola : There are a number of them out there. You’ve got some electronic stores that are out there that are expanding, you’ve got people like Forever 21 continues to take space.
Thomas E. O’Hern : Kohls, Burlington Coat Company. We’ve got some large shoe companies that operate on a promotional price basis as well as we have interest from midsized boxes such as Love Culture and Charming Charlies as well as [H&S] which is a big space user for us. We were delighted last year to really monopolize their open to buy and we expect more of that for 2010.
Arthur M. Coppola : And there are a number of regional electronics guys that are out there expanding. Ultimate Electronics is doing new deals, HH Gregg so there are a number of people that are looking to take advantage of the opportunity to get some irreplaceable real estate. They are demanding lower rents than they were paying two or three years ago but they are beginning to fill the spaces.
Ian Weissman – ISI Group: Finally, we’ve heard from a number of companies about the amount of capital that is sitting on the sidelines. Since you’ve been out of the marketplace, sold a number of properties in to joint ventures, where would you say cap rates have moved over the last several months? Is there enough capital out there pushing cap rates down 50 basis points since where you did deals?
Arthur M. Coppola : I think most people would say that cap rates have come down at least 50 basis points. I think more importantly in the cap rates have emerged in the B type of mall category where I would have had a very hard time of answering the question of what I felt cap rates were for B malls a year ago this time but there’s significant capital that realizes it’s not going to be able to invest in the A malls and is beginning to look very closely at the B malls and I think you are going to see a lot more activity in our industry this year in the B mall sector. It’s pretty easy to say I would say the cap rates for the A malls which comprise roughly two thirds of our portfolio have come down at least 50 basis points and maybe more. If you take a look at where certain companies are trading these days, it would suggest to you that they’ve come down 50 to 100 basis points and certainly the appetite and the number of players that we’d be interested in getting involved in A malls have gone up fairly dramatically. A year ago cap rates were confused, the money was confused because they were convinced that there was a high probability that general growth was going to liquidate itself, back a year ago and it was going to flood the market with product. I think most of those folks are now convinced that is not going to happen and they now realize the scarcity value once again of A malls and the quality of the properties that are owned by companies like Macerich and so that has clearly driven the number of interested players up and cap rates down.
Ian Weissman – ISI Group: Finally just because you mentioned that there’s some price discovery on B malls, where would you put the spread between A and B malls today?
Arthur M. Coppola : Since they haven’t happened yet it’s hard to say. A year ago I would have easily said it’s at least 200 to 300 basis points in the cap rate range. Today, I’d say it’s probably under 200 basis point spread but they haven’t happened yet, it’s hard to say.
Operator: Your next question comes from Michael Bilerman – Citi.
Michael Bilerman – Citi: Maybe just sticking with guidance, Tom can you just review some of the other more volatile items that are embedded in the $2.90 to $3.10? I’m thinking about lease term fees, the G&A guidance, any land sales?
Thomas E. O’Hern : What we typically have to do on those things Michael is use a historical benchmark and that’s what we have done in this case. So bad debt expense for example we’re expecting that to get back to a normal level which for us is typically $5 million a year not the $10 million a year we incurred this year. So we’ve gone back to some normal ranges for things like that and that would include termination fees this year were on the high side at $22 million and we’ve scaled those back to $12 million which is more in line with our historical average, exactly what we saw in 2007 and 2008. That’s what we’ve factored in to the guidance.
Arthur M. Coppola : G&A I would say is roughly going to be flat going forward.
Thomas E. O’Hern : Well flat, we did incur as a result of some of the transactions this year we had about $4 million of incremental G&A costs in the fourth quarter that related to a tax indemnity so exclusive of that $4 million I would expect it to trend pretty consistent with what we saw this year which reflected most of the cost savings. We implemented a major reduction in force in the first quarter of this year and we have not reversed that so I would expect that cost savings to carry forward in 2010 and that’s what we’ve reflected in our guidance.
Arthur M. Coppola : On the land sales just to finish the answer, they’re relatively nominal to none actually in our guidance numbers.
Thomas E. O’Hern : We have not factored in any land sales.
Michael Bilerman – Citi: Just thinking about because you’ve had so much joint venture activity and clearly the fourth quarter is normally seasonal and you’ve given the same store guidance but maybe can you break out NOI and interest just as dollars between the consolidated and the joint venture so at least we can marry things up correctly for the full year?
Thomas E. O’Hern : We’re not really in a position to do that as it relates to the guidance but if you look at the fourth quarter all the joint ventures that have taken place in the fourth quarter so you do have one full quarter where all the pieces have basically already been moved. Typically for us the fourth quarter represents 26% or 27% of the full year NOI.
Michael Bilerman – Citi: Is there anything on cap interest that would reduce and make interest go higher? I know you also have the swap expiring in April so I don’t know if you’re going to let that float to the end of the year?
Thomas E. O’Hern : We will not replace that swap at least in terms of what we’ve done for the guidance. We assume that swap burns off and we get the benefit of that.
Michael Bilerman – Citi: Then on cap interest?
Thomas E. O’Hern : I don’t know the answer to that off the top of my head but typically we don’t give guidance on cap interest. We obviously have less going on in the construction front. The only construction project of any magnitude that’s still going on is Santa Monica Place.
Michael Bilerman – Citi: So it was about $26 million for the year but obviously it started to trail off a little bit and I’m just wondering if that would have a negative impact or a positive as a development NOI comes on?
Thomas E. O’Hern : You obviously have less capitalized interest which is a negative but that also means that development has been put in place and the NOI is coming on line. So if we’re doing our job right the NOI coming on line more than offsets the decreased cap interest.
Michael Bilerman – Citi: You broke out the $0.10 for Mervins but do you know how much development pick up you’re getting in 2010?
Arthur M. Coppola : Yes it’s roughly between Northgate and Santa Monica, $0.11 to $0.12 a share I think and then Scottsdale Fashion Square came on line in the fourth quarter so you got some pick up also since that was built by cash and that’s probably another $0.04 to $0.05 so I would say overall Tom it’s around $0.15 give or take?
Thomas E. O’Hern : That’s right.
Michael Bilerman – Citi: Art you talked a little bit about there is no acquisitions or dispositions and not additional equity or joint ventures in guidance in response to I think Mike’s question in terms of leverage you talked about maybe the potential for sale in terms of not issuing any other equity. Do you have a sense of where sort of leverage target is in your mind as we go from here?
Arthur M. Coppola : The main thing that we were faced with last year was obviously a relatively high level of leverage but we also had some significant maturities that we had to address. On the maturities side we’re in very, very good shape over the balance of this year. Our goal is to continue to reduce our leverage and we have plans to do that and over the course of the year we fully anticipate that our leverage levels will go down. At this point in time I think a lot of people look to the ratio of debt divided by EBITDA and we’re just over eight times, 8.5 times today which if I were to go back a year ago I would say that ratio is probably closer to 10 so we’ve made some very significant strides there. Again, in terms of the macro dollars we’ve reduced our debt level over the past year by just over $1.4 billion.
Thomas E. O’Hern : That’s right. If you look at the balance sheet today we have very little unsecured debt on the balance sheet. A year ago we had term notes of $450 million, we had almost $900 million in debentures. Today, we have no term notes and we only have $600 million in debentures that mature in 2012 plus we’ve got a line of credit with a balance under $600 million. So from our standpoint we’ve always had success financing long term assets with long term financing and our preference has always been seven to 10 year fixed rate non-recourse financing which has been available and we’ve done a substantial amount of that over the last two years. We’ve done over $2 billion of that type of financing. We’re comfortable with that in the 50% to 60% LTV range or these days it’s probably measure more like a 12% to 13% debt yield. The piece that was somewhat unnatural on our balance sheet was the unsecured term note and to some extent the convert and as you see us reducing our unsecured debt, the more we do that the more comfortable we are with the overall leverage level and the balance sheet. The interest coverage ratio is already a pretty health 2.25 to one so that’s not a challenge at all.
Michael Bilerman – Citi: In terms of the line of credit, you talked about the supplemental about pursuing the extension option. Are you going to have any discussions about maybe extending that further or redoing the line of credit this year or is that really late ’10 early ’11 discussion at this point?
Thomas E. O’Hern : Well with the extension that will mature in April of 2011 we’re very close to our banks, we do business all the time in other areas. So kind of ongoing conversations and there will be a time I’m sure we sit down in the second half of this year and open that up for discussion and come up with what makes the most sense for us in terms of the size and structure and everything else. But obviously with a balance below $600 million we’re a lot more confident that we’re going to be able to structure something that works pretty well for us than we may have done a year ago when the balance was over $1 billion and there was not a lot of capacity in the unsecured market. There’s a substantial amount of capacity in that market today and it’s improving by the month.
Michael Bilerman – Citi: Your comments on B malls are interesting, does that give you any thought about the equitable portfolio you hold with Simon?
Arthur M. Coppola : It really isn’t directed towards that portfolio at all. It’s really more of a general comment about what I’m seeing in the overall capital markets and it was really somewhat in answer to the question of what’s happening with cap rates. Again, there is a very significant amount of capital that now realizes that it’s to some degree mixed the boat in ’09 and it also realizes that there is definitely going to be a real scarcity of opportunities for them to invest that capital in a very desired space and I think that’s what’s caused an emergence of capital that’s beginning to become interested in the B mall type of category. It remains to be seen, that’s really more of a prognostication and it does reflect my current pulse on what I see happening but we’ll just have to see. I don’t want to get in to much more details than that because it remains to be seen as the year goes on.
Michael Bilerman – Citi: It’s not making you rush out and put a book together on that portfolio?
Arthur M. Coppola : No.
Michael Bilerman – Citi: Just last just clarification, Tom the same store guidance of .5% to 1%, is that Mancerich’s pro rata share GAAP without lease termination fees?
Thomas E. O’Hern : That is the way we report which excludes lease terminations and it excludes SFAS 141 and it is pro rata.
Operator: Your next question comes from Craig D. Smith – Bank of America Merrill Lynch.
Craig D. Smith – Bank of America Merrill Lynch: If I’ve written the sales down right it looks like Arizona from being last in terms of sales change has now come up to third or even second I guess in fourth quarter. Is it possible that Arizona could return faster than say Southern California for you in your portfolio?
Arthur M. Coppola : It’s hard to say but there’s clearly a better feeling in Arizona overall right now than we had last year at this time. There’s I think some fundamentals in the Arizona market that are definitely on the upswing and it does have a tendency to move faster on the downside than most markets and faster on rebound than most markets so it is possible that you could see sales improve in Arizona even at a faster rate than Southern California. But, that really remains to be seen.
Craig D. Smith – Bank of America Merrill Lynch: My sense is obviously now you’re winding down your development dollars but if they were to pick up I would assume they’d return in the form of Phoenix projects?
Arthur M. Coppola : Frankly, anything that we have in the development arena is still so far off that it would be hard to state. We do have a couple of opportunities in the Phoenix area for developments but they’re still several years away from any opening dates and certainly well over a year away from any conceived starting date. So that’s where they would be. On the other hand we also have historically been able to very profitably redevelop and expand our existing assets. As you know, that’s really our culture and our D&A to redevelop existing assets and when we put all of our development spending on hold other than mission critical projects 18 months ago we had dozens of redevelopment opportunities in our existing portfolio that we had identified and we put them all on hold. I would anticipate frankly that the redevelopment activity of existing assets would emerge before any new developments would emerge but at this point in time the development pipeline really basically consists of Santa Monica Place which we’re extremely excited about and there’s nothing else of any consequence on the horizon at this point in time but there’s plenty of opportunities in the portfolio at the right time to pull the trigger on and to move forward on.
Operator: Your next question comes from Christy McElroy – UBS.
Christy McElroy – UBS: In your conversations as you’re working on refinancing the successes that you have coming due this year can you just give us a sense for what kind of quotes your getting from both banks and life insurers?
Thomas E. O’Hern : Well we’re seeing the life companies have competition which didn’t exist last year and this is n the mid to long term range, five to 10 years and we’re also seeing some signs of life from investment banks in that regard. I would say from the life companies we’re seeing debt yields in the 12% to 14% range and we’re also seeing competitive quotes in terms of proceeds that would meet or beat that from the banks that want to participate. Frankly, there’s been some pretty healthy spreads out there the life companies have been enjoying and the banks are after some of that business so we now have three alternatives for those financing where last year realistically we only had one which was life companies. Just to give you some flavor for their capacity one of the larger life companies that we do business with who was active in 2009, they have increased their capacity and their allocation for real estate this year four fold and that’s just one example so there’s a lot more capacity and a lot more appetite and with that I would expect proceeds level to return to more normal levels. The 14% debt yield is extremely conservative and I would expect that to come down.
Christy McElroy – UBS: Are the larger banks looking to place the debt in to new CMBS deals?
Thomas E. O’Hern : The investment banks are and there are a number of investment banks out there now actively working on CMBS pools. But, the banks it’s all balance sheet lending. They may club a few deals and bring in some participants but generally it’s for their balance sheet.
Christy McElroy – UBS: Then with regard to the GI Partner warrants have they been exercised or do you expect them to be in the near future and even if not? To what extent will they be considered in the money for diluted share count purposes?
Thomas E. O’Hern : They have not been exercised and to our knowledge they’ve got no intention of doing that near term. In terms of dilution, it’s just s simple calculation, I think the conversion price was up 25% or 30%, I don’t recall off the top of my head. You just do a calculation of when that’s diluted to earnings and it goes in to the numbers but I don’t think it’s there yet.
Christy McElroy – UBS: Just looking at your sales per square foot data, in your consolidated portfolio, sales were down 12% year-over-year but down only about 4% in your unconsolidated portfolio, just wondering why the big differential? Is there a issue in the mix?
Thomas E. O’Hern : Keep in mind we moved Queens from being wholly owned to a joint venture.
Christy McElroy – UBS: You didn’t change the prior year data?
Thomas E. O’Hern : No, we did not. That’s the biggest reason for the change.
Christy McElroy – UBS: Just a follow up on Santa Monica, based on the occupancy you expect the center to open at, is there an additional pick up in 2011 or do you basically expect it to open fully occupied?
Arthur M. Coppola : It’s going to open up less than fully occupied by plan. I made reference to the fact that while I’m pleased with where we are from a leasing perspective, we were actively leasing that center, still are but during the toughest of times in ’09 and we made a very active decision that we were not going to accept rents that we felt were inappropriately low. While we are roughly 90% committed right now we’re going to be very stingy with the balance of the space and in the fourth quarter I would anticipate roughly 70% to 80% of the space will open up but the big pick up in terms of the NOI that will be realized from that development will definitely be in 2011.
Operator: Your next question comes from Nathan Isbee – Stifel Nicolaus & Company, Inc.
Nathan Isbee – Stifel Nicolaus & Company, Inc.: Art, can you just give me a little more detail of what you would characterize as a B mall?
Arthur M. Coppola : Most Green Street seems to be the one that is kind of making the definition on that. They define B malls would generally be roughly between $300 and $400 a square foot but generally in the $300 to $350 range in terms of sales productivity.
Nathan Isbee – Stifel Nicolaus & Company, Inc.: So interest is going all the way down to the $300 to $350?
Arthur M. Coppola : Well yes. It really depends, look $300 a foot in a small market where it’s the only mall in town can be very good productivity and frankly can be better in terms of the strength you have in leasing than $400 or $500 a foot in a major metropolitan market. $500 a foot in New York City is not very impressive but $350 to $400 a foot in Billings Montana can be relatively impressive and can give you strong leasing leverage. It really depends on the market in which those sales are being generated.
Nathan Isbee – Stifel Nicolaus & Company, Inc.: Could you break out you have a $583 million construction in process, can you break out the main pieces in there now?
Arthur M. Coppola : On the construction in progress?
Nathan Isbee – Stifel Nicolaus & Company, Inc.: Yes.
Arthur M. Coppola : The vast majority of that in terms of the construction in progress that is there is Santa Monica Place. We’re again, we just completed Scottsdale Fashion Square in the fourth quarter, completed the vast majority of Northgate in the fourth quarter but in terms of the costs that is still remaining, $125 million or so of the $150 million of cost that is still remaining to be spent resides at Santa Monica Place.
Nathan Isbee – Stifel Nicolaus & Company, Inc.: Not what is remaining to be spent, I’m saying the actual what you have spent already that’s still on the balance sheet in construction in progress? It’s $583 million. There’s some Mervins in there, there’s some Santa Monica Place. Can you break it out with a little more granularity?
Arthur M. Coppola : I’ll let Tom correct me if I miss queue here but roughly $65 million of that is Scottsdale Fashion Square, $224 million is The Oaks, $14 million was a big box department store repositioning in Flat Iron, $66 million was Northgate, $141 million give or take was Santa Monica Place, $42 million was Fiesta Mall, $14 million was Lakewood, $21 million was [inaudible] and that all adds up to the construction in progress that was in place as of the end of the year of roughly $580 million plus as you indicated.
Nathan Isbee – Stifel Nicolaus & Company, Inc.: There’s no Mervins in there?
Thomas E. O’Hern : Nate, I think your question is what’s still sitting in CIP?
Nathan Isbee – Stifel Nicolaus & Company, Inc.: Yes.
Thomas E. O’Hern : Because some of the things on that has been placed in service. I mean CIP probably has 50 different items in there. We have department stores we bought back, not just Mervins but others. I think there are two or three Mervins that are in that numbers. Any time we have a tenant allowance going on somewhere that shows up in CIP so there’s a whole host of things in there.
Arthur M. Coppola : Not very much of it is Mervins because most of those deals were pretty much as is deals I believe.
Thomas E. O’Hern : I think there were only two or three that we took out of service in their CIP but the biggest piece of CIP is going to be Santa Monica Place by a long shot.
Nathan Isbee – Stifel Nicolaus & Company, Inc.: I ask the next question tongue in cheek but how much have you budgeted towards Mid Atlantic Northeast snow removal?
Arthur M. Coppola : Well, it’s certainly a lot less in Southern California than it is there. I can tell you that.
Operator: Your next question comes from Ben Yang – Keefe, Bruyette & Woods.
Ben Yang – Keefe, Bruyette & Woods: Going back to the capital sitting on the sidelines you talked about possibly taking advantage of this environment. Would you be more likely to sell some of your B malls outright or is it your preference to perhaps venture these instead?
Arthur M. Coppola : That remains to be seen. I’m not avoiding your question but on the other hand these are some thoughts that we have in mind. There may be some negotiations that we’re currently underway. It could go either way and I’m not saying it’s going to happen because as Tom indicated there are no dispositions or acquisitions in our guidance numbers. But clearly, it’s a marketplace that is emerging and Macerich has always shown itself to be willing to prune its portfolio. I think that’s prudent at all times and whenever you can do it in a way that is efficient in the marketplace we’ve been willing to do it. As you may remember we did some very significant sales back in 2007. 2009 was obviously marked by some non-core dispositions of non-malls as well as the joint ventures. The market is improving for all classes of malls going forward and I could see us tapping in to it but it’s not in our guidance. Whether it would be an outright or joint venture I can’t speculate at this time. If we do it we would do it in a way that would be the most efficient for the company.
Ben Yang – Keefe, Bruyette & Woods: Then as this market starts to unfold, what would it take for you to pull that trigger? Is it purely based on pricing or would there be any other things to consider if you do indeed joint venture in some of your malls?
Arthur M. Coppola : It would really be driven by a lot of factors, almost too many to enumerate. If we find that the market becomes attractive and that we have an opportunity to prune our portfolio and to kind of keep our focus on the most productive assets that we have and the highest quality assets we have we’re going to take advantage of it. It would have been hard a year ago to say that was in the cards but today I can see it in the cards and we’ll see as the year unfolds.
Ben Yang – Keefe, Bruyette & Woods: Just last question, there was an article recently that indicated the city sales tax receipt, that 29th Street Mall in Colorado was cut in half last year, I’m just curious if that’s due to lumpiness of those tax receipts or perhaps the new [inaudible] taking some market share from your property?
Arthur M. Coppola : Well the sales tax receipts from 29th Street didn’t get cut in half last year so I don’t know what article you were reading. 29th Street is in a larger district that the City of Boulder measures its sales from and again, I cannot even imagine that their sales taxes were off the percentage that you indicated but I would suspect that even in those numbers they would include things like hotel sales taxes and I think hotel sales tax are down everywhere. That was not the sales results of 29th Street.
Ben Yang – Keefe, Bruyette & Woods: A local paper had indicated for one or two months the sales were chopped in half so that’s why I ask if it’s just the lumpiness of those receipts or anything else going on there but it sounds like it’s a non-issue.
Arthur M. Coppola : It’s a non-issue and you can’t always believe what you read.
Operator: Your final question comes from Richard Moore – RBC Capital Markets.
Richard Moore – RBC Capital Markets: Just a quickie on dispositions, Tom what were the non-core assets and do you have more of that kind of stuff that you’re still seeking to get rid of?
Thomas E. O’Hern : Rich, we had earmarked and said when we laid out our capital road map for 2009 that we were going to sell $150 million of non-core assets and we did just that. It includes six community centers in Phoenix, five department store buildings that were located in malls that we didn’t own and 14 free standing retail buildings. We earmarked those, we were successful and that program is finished and we have not factored anything new in our 2010 guidance.
Richard Moore – RBC Capital Markets: So there’s really nothing else that falls in to that category that you might think of as selling in the near future?
Arthur M. Coppola : Nothing that’s in our guidance but again I want to emphasize that we pride ourselves at being in very close touch with the real estate capital markets and relative valuations that people are willing to put on our malls. I could see some activity happening this year but it’s not in our guidance.
Operator: Since we have no further questions at this time let’s go ahead and turn the conference back over to our presenters for any closing remarks.
Arthur M. Coppola : We appreciate you being with us. As you can tell from our comments, we’re very pleased with the results over the past year and we are looking forward to reporting strong activity within the company over the course of this up coming year. The environment is definitely feeling much better on all fronts whether it be the capital markets, the debt markets, the retailers sentiment so we are very cautiously optimistic that we’re going to have a very strong year and we look forward to reporting to you as the year goes on. Thank you again for joining us.
Operator: Ladies and gentlemen, once again this does conclude Macerich Company’s fourth quarter earnings conference call. Thank you for your participation.